Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Manchester United Second Quarter 2014 Earnings Conference Call. At this time all participants are in listen-only mode. Following the presentation we will conduct a question-and-answer session. (Operator Instructions) I would like to remind everyone that this conference call is being recorded. Before we begin, we would like to inform everyone that this conference call will include estimates and forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with the cautionary note in our earnings release regarding forward-looking statements and risk factor discussions in our filings with the SEC. Manchester United plc assumes no obligation to update any of the estimates or forward-looking statements. I would now turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead, sir.
Ed Woodward: Thank you, Operator, and thank you, everyone, for joining us today. With me on the call as normal are Michael Bolingbroke, our Chief Operating Officer; Hemen Tseayo, Head of Corporate Finance; and Samantha Stewart, Head of Investor Relations. We once again generated record second quarter revenues of GDP123 million, up 12% and driven by continued growth in our commercial business, couple with higher broadcasting revenues from the new Premier League rights agreement. Our commercial business had another great quarter with revenues up around 19% and sponsorship revenues up over 39%. We announced several new deals in the quarter, six in total including following. On the regional side we are delighted to announce the nine country deal across Southeast Asia with Unilever as our personal care and laundry partner. We extended our partnership with the Hong Kong Jockey Club. We signed MUTV deal with MUTV Fuji, SPOTV Korea, as well as Denizbank as our financial sponsor. We also announced the five-year extension to STC sponsorship agreement in the Middle East making STC now official triple-play part of the club with exclusive rights in that territories distribute MUTV via all platforms TV Online and through mobile. More recently since the quarter end we have announced the multi-season deal with Aperol as a club’s Global Spirits Partner. On the pitch we have progress to the knockout phases of the Champions League with Olympiakos as our next opponents in the last 16. As to the Premier League, we are not in the position that we want to be in and are working hard to change that and with 13 games to go there is a lot to play for. We recently announced the signing of Juan Mata and we are excited to bring a player of his caliber to club especially in the more challenging January transfer window. Plan has been established international player, the World Cup and the European Championship winner with the proven pedigree in the Premier League, I am sure it will be a great addition to the team. Mata’s announcement has some very positive impact, 288,000 new followers on Twitter and 256,000 new Facebook likes, between the 21st and 27th of January represents the 14th fold increase on Twitter and four-fold increase on Facebook compared to the average weekly growth. On MUTV, we also added more than three-times historical average for the five-day period in January. We have not seen any impacts on the wider business from our current on pitch performance. Feedback from our sales team as there is much interest from potential partners as we have experienced in recent years. Our partners choose Manchester United because we offer them something no other team can deliver. Our global brand that can magnify their exposure and reach new customers, the club with 659 million followers around the world, with 325 million of those in Asia and 108 million in China. Increasingly, significantly higher engagement level, on Facebook that is more than any other sports team around the world. Statistics like these are not achieved in one season rather, they are result of history, heritage and success of the club over the last 136 years. I will now turn the call over to Michael.
Michael Bolingbroke: Thank you, Ed and good afternoon everyone. I’m going to review our results for the second quarter 2014. I’d like you to please bear in my mind that looking at our business on a quarterly basis and in particular comparing quarters from different years can sometimes be misleading due to the timing differences of various games. And as usual, unless I mentioned otherwise all figures are in U.K. pound sterling. So we announced our second quarter ‘14 results today with revenue up 11.6% to a second quarter record of GBP122.9 million and adjusted EBITDA up 1.6%, to GBP51 million. And this quarter we hosted one less Premier League match at Old Trafford and incurred FX losses that negatively impacted that EBITDA figure. Once again, we have added figures for both adjusted net income and for adjusted EPS as we believe in accessing the true comparative financial performance of the business, it’s useful to strip out the distorting effects of material charges and credits unrelated to the underlying business. We then apply a normalized tax rate of 35% for both the current and prior periods. And we provide a reconciliation of this in the earnings release you will have. So our adjusted net income was GBP19.8 million, compared to an adjusted net income of GBP19 million in the second quarter of 2013. Now, I won't walk you through every line item, but well I just to point out the items I believe are worth highlighting on this call. Now in the second quarter of 2013, our Commercial business represented 34.4% of our total revenues versus 32.3% a year ago. Within the Commercial business, sponsorship revenue increased by a full 39.4%, to GBP29 million and that’s due to new regional MUTV and financial partnerships, coupled with renewals of existing relationships. Merchandising, apparel and product licensing revenue was down modestly due to an adjustment in the cumulative profit share broadcast of our regional partners. But year-to-date revenue was $19.8 million and that’s an increase of $0.9 million or 4.9%. New media and mobile revenue decreased GBP1.1 million, as we continue working on our broader digital media strategy. Now, Broadcasting revenues were up 18.7% due to increased revenue from the Premier League, domestic and international rights agreements as well as the merit share of the UEFA Champions League market pool distributions, as we finished first in the Premier League in season ‘12/‘13 compared to second in the ‘11/‘12 season. These increases were partially offset by having one pure Premier League game during the second quarter. Matchday revenues were down GBP1.3 million reflecting a trade-off between one less Premier League home match versus one more home game in the Capital One Cup. On the whole, matchday revenue drivers have been having a very good season. We achieved a full sellout for the entire season for executive facilities before the first ball was kicked and record revenues in volume of seats on executive -- seasonal executive hospitality. Operating expenses increased 19.9% due to player acquisitions and renegotiated player contracts as well as higher fixed cost due to a variety of factors, the majority of which are either one-offs or revenue offset. Variable costs are higher due to increase in domestic cup gate share expenses from having one more home domestic cup game in the second quarter versus none in the prior quarter. Our net finance costs are lower by GBP3.5 million versus the second quarter of last year primarily due to reduction in interest payable on our borrowings following the refinancing we conducted in June 2013. Based on our second quarter results and current visibility, we remain confident that we will achieve our previously stated guidance of fiscal ’14 of revenue between GBP420 million to GBP430 million and adjusted EBITDA of GBP128 million to GBP133 million. Following the January transfer window, we believe that wages will be up in the mid-teens percentage wise as we have previously guided as the January window was broadly net neutral to player wages with loans and sales offsetting player acquisition. Our amortisation will be around GBP54 million versus the previous guidance of GBP49 million. I will now turn the call back to Ed for closing comments. Ed?
Ed Woodward: Thanks, Michael. Anticipating some of the questions that are frequently raised let me touch briefly on a few of them. First of all, regarding the potential announcement of a new technical partner, we are currently in discussions with multiple parties regarding our global retail, apparel and product licensing business, starting in the ’15, ’16 season with the view to maximizing the value and structure of that business. As advised on previous calls, we will update you only when we have something to report. Secondly, on digital media, we continue to refine our strategy and have made good progress on the developments of the new platform. Some recent milestones include rolling out HD technology for first time, further expanding our social media platforms, which continues to lead PTA or people talking about standings of all properties on Facebook. We are also testing live content on the TV platform and in product research using the club’s 60,000 strong in-house global fan panel on pricing and product requirements. We continue to expect additional media new platform rollout to have meaningful revenue contribution likely starting in the ’15, ’16 season. Lastly, on players’ transfers and fees and salaries, I would just like to say over the medium-term, we would expect annual net player CapEx to track higher than our historical average as we would invest in our squad if needed in order to make sure we are competing at the highest level. And this in turn will have an inflationary impact on wages. At this point, it’s worth touching on our player academy, an often overlooked part of the club, the one that’s central to our player strategy. It’s developed over decade and is one of the strongest in the country. We will continue to nurture and develop young talented players, bring them into first team when ready. Januzaj, Welbeck, Cleverley, Fletcher, Evans are all current academy graduates. We continue to believe that Financial Fair Play will begin to curb player cost inflation and home-grown talent is going to be a key differentiator as FFP begins to take affect. So, I just want to reiterate it’s been another solid record quarter for us. Our commercial business goes from strength-to-strength. Broadcasting sports rights continue to appreciate and our matchday statistics continues to be very robust. We’ve strengthened the playing squad and look forward to rest of the season. With that, I will conclude the call and pass back to the operator and open up for questions. Thank you.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Doug Mitchelson from Deutsche Bank. Please ask the question.
Brian Russo - Deutsche Bank: Hi. This is Brian Russo for Doug. Thanks for taking the questions. You mentioned Financial Fair Play, so I have a question around that. With regard to the outlook for player costs in the industry, there has been a lot of press with regard to Manchester City’s recent financials as it relate to the Financial Fair Play regulations and the likelihood of sanctions when the governing body kind of rules on this. Would it be reasonable to see the outcome of this ruling as kind of a proxy for the effectiveness of Financial Fair Play on the future of player wage growth?
Ed Woodward: I’m not going to talk about specific team, but I would say that this year is the first point where we will see how FFP is going to bite and indeed work and have an impact on potential inflation in football. And there are a number of clubs that have been looked at more closely by UEFA. And I am not going to obviously comment on specific ones, but I would agree with your perspective that how UEFA deals with those clubs that have breached the rules or close to breaching the rules. I think it’s going to be important here to see what trajectory the overall -- how FFP is going to impact the industry. So I would agree with that comment. And I think the timing of that -- we will probably start to get a sense as to where UEFA are coming out in the coming sort of 5 or 6 months, but the process may take somewhat longer than that.
Brian Russo - Deutsche Bank: Terrific. The timing is helpful. Thank you.
Operator: Thank you. Your next question comes from the line of Matthew Walker from Nomura. Please ask your questions.
Matthew Walker - Nomura: Thanks. Good afternoon. Few questions please. First one is, can you -- you mentioned upping the CapEx, can you something like difficult because you don’t know you are going to buy, but sort of ballpark figures, how much above the historical level are you talking about? Second question is, what do you think about the growth outlook for match day revenues and ticket pricing given current performance and pricing levels that you may or may not have into the market? And the last question is, you mentioned that the business has not really seen any impacts at all on the commercial side from the on-pitch performance. Just theoretically, if there was to be a no champions league football for a while, how long do you think the commercial business could perform according to your plans and hopes if you didn’t have champions league football or is it the case that it really doesn’t matter?
Ed Woodward: I will take the first and third of those questions, Matthew. First of all, in terms of the upping of the CapEx which I guided earlier on, I am not going to give a number or even a range on this, I mean partly based on what you said, partly because it is a weather forecast, it is subject to X players going out and Y players coming in and who those players are. You can obviously have some materially different numbers based on that. So I don’t think it will be helpful to guide around that. I certainly would guide there is going to be an increase in the medium term as I have already said. And the second piece is I don’t want to get into giving forward-looking statements relating to the financials. We will get guidance relating to next financial year when we get to the call in September. And with regard to your third question, in terms of potential impact on the commercial business, I mean the first thing I would say is a starting point long-term strategy of the club is to focus on building a competitive squad that challenges for trophies. And part of the financial strength that we have that again we presented in results today demonstrates that we have the ability to do that. We have the ability to buy players, to churn players, to make sure that we are competing at the top level which is what we should be doing. So the first comment there is, I think there are huge litigant just in terms of our overall financial strength in terms of making sure that we are not in the situation as you have outlined. The second thing I would say is, I think it takes a long, long time to built up a huge fan base to have, if you like the equity values of what we are as a business and as a club projected out there, so the people can understand from a commercial prospective, why it makes sense to partner with us. And I don’t think that that will go away for a long time and some of our competitors haven’t won the Premier League for long time, but still sale a huge number of shirts out there globally, some just down the road from us. So I -- that’s not something I am sitting here concerned about, what I am focused on is that long-term strategy, which is making sure that we are building a competitive squad that challenges for trophies and that something we are doing. The second question I will pass over to Mike.
Michael Bolingbroke: Yes. Hello, Matthew.
Matthew Walker - Nomura: Hi.
Michael Bolingbroke: And just on the matchday revenues issue, you’ll know probably that we decided to freeze prices for the ’14, ’15 year. And now the reason for that is, well, firstly, we are just coming out of the major, major recession and it just seem sensible from a sort of microeconomic point of view to take that step. We also conducted a great deal of analysis on supply/demand, et cetera around that and did our yield work on that and felt that that was the most sensible way to go. But looking more to the medium and long-term and talking about yields. So there are plenty opportunity to Old Trafford offers us from a capacity point of view and from the balance of executive hospitality to GA point of view to raise that yield and over the medium-term we will be looking at that. So we have kept prices flat for the following year, because we think that’s the right thing to do, but the guidance we gave in the past has always been that we will increase prices in line with inflation and I am sure that’s the case and potentially there will be more yield there as well in the near to medium-term.
Hemen Tseayo: Okay.
Matthew Walker - Nomura: Okay. Thank you very much. Thanks.
Operator: Thank you. Your next question comes from the line of Randy Konik from Jefferies. Please ask your question.
Randy Konik - Jefferies: Hey. How are you? I guess back on the player CapEx? So is there, there is no type of guidance we can get at all in terms of how much have been increase, I guess or maybe qualify, maybe instant of quantify, can we qualify what the game plan is, is there your need for five or seven new players or maybe put some qualify what needs to be done rather than quantify what needs to be done? Thanks.
Michael Bolingbroke: That’s difficult to answer, Randy, I mean, I am -- I think it’s fair to say, we are focused on strengthening the squad and we are looking at some players in the squad, as well as players perhaps we sell this summer. And we wouldn’t necessarily be looking to turn a huge number of players so that can have a destabilizing effect. But we also afraid of moving in the market in a way that you perhaps we haven’t seen recent years and that, if you look at historic numbers that gives you one guide, if you look at historic churning of players by number that gives you another guide and historically we have had roughly three sales and three purchases each year and it’s possible that we would do more than that. But I can’t guide so where that may end up. It is a dynamic situation and obviously the market itself can throw up opportunities all the opposite of that as we go through window.
Randy Konik - Jefferies: Great. That’s fair. Thank you.
Operator: Thank you. Your next question comes from the line of Bryan Goldberg from Bank of America. Please ask your question.
Bryan Goldberg - Bank of America: Hi, thanks. Just a couple of quick ones. Thanks for your comments, your update on the digital media strategy earlier. Are you still on track for late 2014 launch and then is the cost based for this initiative fully built into your P&L or is there going to be some sort of modest ramp into that launch. And then secondly, with respect to the teams summer tour, what were the biggest factors that drove your decision to come back to the U.S. market in a few -- plenty of reason data points with respect to Premier League viewer ship trends in the U.S. on NBC, that would be great as well? And then finally with the profit share adjustment that I think, you called out in your prepared remarks with respect to your Nike relationship. Was that a one-time adjustment, I know it’s small but is this going to recur for the remainder of the year or was it just one time in a quarter? Thanks.
Ed Woodward: Thanks, Brian. Digital media, yeah, there is no change in terms of guidance around timing. I think the major guidance there remains the material, yeah, having a material impact on the P&L and that’s the ’15, ‘16 season, not the ‘14, ‘15 season that you will see as we roll product out and as we develop to plan further that picking up in the coming year. Cost base wise, there has been investment in this and we are carrying a cost based relating to people working with suppliers and investment in increasing capacity and ability for a production perspective at MUTV, our production company, and HD is a good example of that, that’s not cheap. But the cost base inevitably will pick up particularly on a variable cost basis as we launch products. So I would -- again I think, you’ll see that coming through and we’ll be able to assess better the margins as we get closer to the revenue streams. Your second question on the U.S., the U.S. has always been an important market for us. I think, we’ve kind of given guidance there in the last five years, maybe three to five years we’ve seen a greater acceleration of interest in the sport and then Manchester United in that territory and that continues to be the case as something we track very closely. We’ve got incredible number of people on Facebook and our other social media platform and they’re highly engaged from the U.S. where we have now we think as many if not more fans in the U.S. compared to in the U.K. And early stuff coming out of the NBC shows an increase of about 78% viewership this year compared to last year on the FOX and the ESPN platforms in terms of the U.S. audience which is obviously extremely positive. And I’ll pass the third question over to Michael on the profit share.
Michael Bolingbroke: Yes, Brian, on the Nike question, yes that is a one-time adjustment. Nike made an adjustment primarily driven by the effect it had in the World Cup in 2014 which they haven’t, say, fully baked into their numbers, so its one off.
Bryan Goldberg - Bank of America: Thanks a lot.
Operator: Thank you (Operator Instructions) There are no further questions at this time. Please continue.
Ed Woodward: Okay. Thank you very much everybody for your time and we look forward to speaking to you in a few months. Thank you.